Éric Trappier: [Interpreted] Good morning and welcome to this press conference. We will introduce the numbers for 2025, but we'll start off as usual with a little movie. [Presentation]
Éric Trappier: Eric Trappier unveiled in the East, the first Rafale built for the United Arab Emirates Air Force in the presence of the French Minister of Defense and the UAE Minister of State Defense. The aircraft will be used by Dassault Aviation's flight test center to develop the UAE's specific Rafale standard produced in line with the contract schedule. This first aircraft reflects Dassault Aviation's commitment to meeting its commitments to customers' expectation. Delivery will start beginning in late 2026. Eric Trappier received the Strategist of the Year award from Prime Minister Bayrou. Created in 1989, the award honors a business leader selected by the readers of Les Échos and by a jury of leading French figures from the industrial and economic sectors. Dassault Aviation took part in the IDEX exhibition in February in Abu Dhabi in the UAE. We will also attend the Aero India Air Show. Two 1/5 scale models were displayed on the standard Rafale C in Indian Air Force Livery and the Rafale Marine. Dassault Group won the 38th edition of the Course du Cœur, a major event raising awareness about organ donation and transplant. A sporting challenge, but above all, a powerful and inspiring human experience. The contract for India's acquisition of 26 Rafale aircraft in the naval version was signed on April 28th in New Delhi. Outside France, India will be the first country to operate the Rafale M. This decision reflects the Indian authority's satisfaction with the aircraft's capabilities and the intention to expand its operational role. It also provides further evidence that the Rafale is a key instrument of national sovereignty. The contract underlines our 70-year commitment to supporting the operational requirements of the Indian Armed Forces, as well as our determination to strengthen our footprint in India in line with the Make in India policy and the Skill India initiative. In early June, Dassault Aviation signed 4 agreements with Tata Advanced Systems Limited for the production of Rafale Fuselage in India. This marks an important step in strengthening India's airspace capabilities. The first components are expected to be produced in 2028 at the state-of-the-art Hyderabad facility. On the occasion of President Emmanuel Macron's state visit to Jakarta, French Minister of Defense signed a letter of intent with his Indonesian counterpart concerning the future acquisition of additional Rafale aircraft, which would be added to the 42 already on order. On 2nd June, General Christian Baptiste, National Delegate of the Order of the Liberation, and our Chairman and CEO, Eric Trappier, unveiled to the public a silver-bound case adorned with the Cross of Lorraine containing the Directory of the Companions of Liberation. This unique piece was acquired at the public auction, De Gaulle legacy for history in Paris with the support of Dassault Aviation and the friends of the Museum of the Order of the Liberation Society. Once again, Dassault Aviation took part in the Rêves de Gosse air tour, offering children with disabilities the unique experience of a flight and a moment of escape. We've been partners for 26 years with the association Les Chevaliers du ciel, which organizes the event. The 55th edition of the Paris Air Show at Le Bourget was a great success, with large crowds throughout both the trade days and the public weekend. The event was inaugurated by the Prime Minister, who notably visited our L'Avion des Métiers stand. Many ministers and distinguished guests also toured our facilities. French President spent considerable time at our Battle Lab, which showcased our expertise in collaborative combat. The future of combat aviation was in the spotlight on our static display with the first-ever presentation of a full-scale mock-up of the combat drone set to accompany the Rafale within the next decade. Rafale demonstrated its outstanding performance in daily flying displays piloted by Captain Jean Baptiste -- Jean-Brice Millet, known as Mimouss. The area dedicated to military support showcased the many innovative solutions offered to our customers. During his speech at the Paris Space Hub, the President also announced the launch of our VORTEX project. An agreement to support the development of the demonstrator for the space plane was subsequently signed by the Minister of Defense, the Chief Executive of the French Defence Procurement Agency, and our Chairman and CEO. In keeping with its key role in safeguarding national airspace sovereignty, Dassault Aviation is thus contributing to the development of strategic capabilities to address the emerging challenges of space mobility. Dassault Aviation space projects have also received the support of the European Space Agency. During the show, the company also signed a Memorandum of Understanding with the French Ministry's Defense of AI agency, AMIAD, to carry out R&D work on several air combat use cases. In the civil sector, Dassault Aviation displayed on its static standard Falcon 6X, Falcon 8X, and a full-scale mock-up of the cabin of the future Falcon 10X. As with the Rafale, visitors were able to admire the 6X in-flight, flown by test pilots Cédric Carl and Antoine Dussault. Dassault Aviation also signed a new agreement with the Ministry of Defense to support the operational reserve. Under this agreement, our employee reservists are granted up to 20 days per year to serve with the armed forces with their salary maintained. Our company was also at the Paris Air Lab showcasing innovative presentations in the fields of design and production, which proved highly popular with young visitors, as did our recruitment stand, which notably highlighted the importance of increasing the share of women in our workforce. Dassault Aviation ranks third in the airspace, rail, and naval category in the 2025 list of France's 500 best employers compiled by Statista for Capital. The company has featured in the top 10 of employers favored by students and young graduates for more than 10 years. Dassault Aviation also ranks in the top 5 of the Universum in France cross-sector ranking and in top 3 for the Epoka ranking for the industrial sector. Falcon 8X Archange electronic intelligence and surveillance aircraft successfully completed its maiden flight in Mérignac. The French government has already ordered 3 aircraft of this type to replace the Transall C-160G Gabriel and the DC-8 Sarigue with the French Air and Space Force. Falcon 8X Archange is equipped with the universal electronic warfare capability developed by Thales, enabling it to detect and analyze electromagnetic signals emitted by radar and communication systems. The level of performance expected from this aircraft has required an exceptionally high degree of systems integration, a core aspect of our role as an industrial architect. On 23rd September, Eric Trappier, surrounded by employees, inaugurated our new Cergy facility. The ceremony brought together Philippe Court, Prefect of Val-d'Oise, and numerous elected officials, notably Valérie Pécresse, President of the Île-de-France region, Marie-Christine Cavecchi, President of the Val-d'Oise department, and Jean-Paul Jeandon, Mayor of Cergy. The Cergy site is a state-of-the-art industrial facility spanning nearly 111,000 square meters dedicated to the production of our Rafale and Falcon aircrafts. The last time Dassault inaugurated an entirely new factory was in the early 1970s, more than 50 years ago. Dassault Aviation is continuing its development while modernizing its operations. This site is not merely a production facility, it also a place where expertise is passed on, a legacy of our experience built up at our Argenteuil plant since the early 1950s. It is here, together with the support of our supply chain that a passion driving the vitality of our industry continues to take shape. On 26th December, the French Defense Procurement Agency notified us of an order for five additional Falcon 2000 Albatros aircraft under the AVSIMAR maritime surveillance and intervention program. The program provides for the acquisition of a total of 12 aircraft, 7 of which were already ordered in December 2020. Based on the Falcon 2000LXS, Falcon Albatros is equipped with a multifunction under fuselage radar, a latest generation of Tronic Turret, observation windows, a search and rescue stores release system, and dedicated communication systems. It's a high-performance aircraft that reflects our dual civil-military expertise and our ability as a systems integrator. Its development is being carried out in cooperation with Naval Group, Safran, and Thales. The aircraft successfully completed its maiden flight on 24 January this year. First deliveries are scheduled for 2026. On 14th October, Dassault Falcon Jet, a wholly owned subsidiary of Dassault Aviation, inaugurated a new maintenance facility at Melbourne Orlando International Airport in Florida. This infrastructure strengthens Dassault Aviation's presence in the Americas and reflects our company's long-term commitment to customer support. The complex can accommodate the entire Falcon range, including the Falcon 10X currently under development. It is capable of carrying out major maintenance and modification operations on up to 14 Falcons simultaneously and also features a new state-of-the-art paint shop. This marks a significant further expansion of our global network, which now includes around 60 sites dedicated to the maintenance, repair, and overhaul of Falcon aircraft. We chose to open this hangar as the service center for the United States, Canada, and South America. It's also easier here to hire skilled personnel, it was very much a strategic decision to continue strengthening our footprint in the United States. More broadly, this will become a major hub for service and support operations in Florida, particularly for our new aircraft, the 6X and tomorrow the 10X. Our company was a partner of the 48th WorldSkills France National Competition held in Marseille from 16 to 18 October, a flagship event celebrating technical and technological excellence. This Skills Olympics brought together nearly 800 competitors under the age of 23, among them were 4 of our young talents from our Istres, Mérignac, and Saint Cloud sites, competing in 3 of the 70 disciplines represented. All 4 were awarded medals. Dassault Aviation received the Best Future Value award at the 24th Investor Awards organized in Bourg-Saint-Maurice, which comprised 9 different categories and were determined on the basis of a large-scale survey of 218,000 investors, both private and professional. Dassault Aviation and cortAIx, Thales's artificial intelligence accelerator, have entered into a strategic partnership to develop sovereign-controlled and supervised AI solutions for defense aerospace. Signed by Eric Trappier and Patrice Caine, Chairman and CEO of Thales. The partnership was announced on 25 November in Paris at an international AI summit held under the high patronage of the French president. At the Dubai Airshow 2025, Dassault Aviation signed a strategic cooperation agreement with the Technology Innovation Institute and ASPIRE, 2 leading organizations in technological research in the United Arab Emirates. This partnership marks a new step in the expansion of our international innovation network and builds on more than 50 years of trusted cooperation with the UAE. The aim of this collaboration is to accelerate innovation in next-generation airspace products and solutions, particularly in the fields of stealth materials and advanced communication and cybersecurity systems. On 28th November, the Indonesian Air Force formally accepted its first 3 Rafale aircraft at the Mérignac facility. This milestone marks a significant step forward and reflects Dassault Aviation's commitment to meeting our customers' requirements, thereby strengthening the strategic partnership between Indonesia and France. In February, India took a decisive step towards the acquisition of a further 114 Rafale aircraft. The Defense Acquisition Council approved the opening of government-to-government negotiations for this order. For its part, Dassault Aviation is committed to strengthening its presence with within India's industrial ecosystem by developing new production lines under the Make in India initiative. Well, then, let's move on to the presentation proper. In the recent development of war in the Middle East, I mean, this is not on the presentation, but inevitably this will have consequences for the industry as a whole should the conflict continue for any length of time. In any case, you have the challenging context of war in Ukraine, the tax situation of big companies, especially those in France, and the defense budget, in light of this fiscal battle at parliament was preserved with the steps. That remains unchanged. This is good news, there's uncertainties around FCAS. We'll talk about that. And then a decision a few weeks back, India's decision to start exclusive talks with France regarding the acquisition of 114 aircrafts. So the highlights, the signing and entry into force of interest, India's purchase contract for 26 Rafale marine for the Indian Navy. We have already delivered 300 Rafale. We have 400 French companies brought together in the program. 533 Rafale were ordered, 323 for export. There remains another 220 Rafale to be delivered as of January 1, 2026. So India's commitment is to stick to the Make in India initiative. We've been working on this for a number of years. We have to step it up, Dassault Aviation, but also our big partners, Thales and Safran, and also the entire supply chain, which will come to provide local support to manufacture in India a number of components of the Rafale aircraft and in particular the future assembly line. We started partnerships on the Falcon aircraft as a form of practice for the Make in India initiative. In France, we delivered 11 Rafales in France in 2025. There's another 45 to deliver in our backlog. We are pursuing the development of Rafale F4-3 is being developed as we speak. We're starting the F5 Rafale. The president mentioned this at Île Longue a couple of days ago, and that will be the main standard to develop the future -- airborne component. That's supposed to enter into service around 2035. In exports, we've delivered 15 Rafale, so that's 26 altogether. Another 175 remain to be delivered. In the present state of orders, the entry into force of the Indian Navy contract started, we took 26 aircraft to be delivered. Another -- 26 are ordered -- 26 delivered, 220 to be delivered. In France, we have to step up our support teams for export. And in France, in France, we've had a number of alerts, because of the activity of the Air Force, we need to be agile and respond to the needs of the Air Force. Now, I'll remind you that accumulated experience has been mentioned ever since World War II. We've acquired significant experience. We've developed all combat aircraft of France since the 1950s up until now and from the Ouragan to the Rafale. The reason I mention this is that this is a success story for France, and we certainly expect to build a future without partners. That's the next slide. On the next slide, a big question mark about FCAS. We are only at stage one, at the initial stage of Discovery, we haven't even entered stage 2, where challenges are being encountered. You may have questions about that. Let me tell you that since the beginning of the program, France was appointed to lead the program in Pillar 1. The aircraft was supposed to be under the main contracting of Dassault Aviation. That was part of the commitments back in 2018. We stuck to that commitment. Our teams worked in full cooperation with their partners under the Dassault leadership here in Dassault. Not everybody's happy with the Dassault leadership. If you want to develop that kind of a combat aircraft for the future, you need a leader. I'm not the one who decided who the leader should be. The decision maker, i.e. the states are the ones to decide, and the idea was to make that decision on the basis of who is the best athlete. That was reiterated by the Heads of State to meet the operational and indeed competitive challenge from other countries around the world. In space industry, we propose to have mobility in space. We have the demonstrator Program Stage 1 was launched at the Bourget Air Show. You saw that in the video. The idea is to have a 1, 2, 3 scale of a flying aircraft, a flying shuttle to arrive at the final goal, which will be both civilian and military. The idea is to find funding not just in France, but in other countries as well, at the European Space Agency for possible cooperation. We've been working with a number of companies, including OHB in Germany. The idea there is to make headway in this field, but we're also seeking partnerships outside Europe. The mission aircraft, as mentioned in the video, we've received an order for an additional 5 aircraft for maritime surveillance, the Albatros aircraft, so that means altogether 12 aircraft for the French Navy, and the first delivery should happen this year. The Archange program, that's Falcon 8X, a strategic intelligence aircraft. The first flight was completed last year in the summer. We're continuing development work on this. This is a very specific program because it integrates all sorts of equipment, including Thales's equipment on the Falcon 8X to replace the former Transall C-160G Gabriel. On Falcon, we've got an order of an additional 31 aircraft, more than last year. We certainly expect or hope these numbers to increase in future years. We've delivered 37 aircraft, and that's slightly below the guidance. On Falcon -- Rafale, we're above Falcon slightly below target. We had the uncertainty of tariffs in the first half of 2025. Fortunately, we're back to 0 tariffs for aeronautics, and so that means we can take new orders in the USA, but also to deliver aircraft in the US without being penalized by tariffs. The Falcons in surface, we have the Falcon 6X, which is the newcomer in the Falcon family. It already has 7,000 flight hours and with good feedback from the customers. We are pursuing the development of Falcon 10X, which is being finalized. At least the first aircraft is being finalized. Falcon support, we are working on that as well. As you may have seen, we closed a maintenance shop in the U.S. in Wilmington. We're now opening a big one in Florida. Florida is a wise choice because it is right at the heart of the Americas, North America, Canada, and South America, but that's also where you can find staff recruitment. We are located just next to Cape Canaveral. This is, of course, a part of the U.S. where the aerospace industry is very much present. This is very convenient for our own maintenance center and our customers, whom we question were quite happy with the idea of having the aircraft in that center for planned and unplanned maintenance operations. Likewise for the French government aircraft, we were able to retrieve that contract, and we are supporting the French fleet. That was not the case before. Decarbonization, we're pursuing this. No major change since last year. We're still looking -- we're seeking cancellation from the EU on the present taxonomy, which penalizes business aircraft compared to commercial airliners. That issue should come up this year. We'll see whether the decision is being challenged or not. At Dassault Aviation, we're not particularly concerned that the supply chain is unhappy not to be recognized in the taxonomy. In fact, we should be seen as making the right efforts to decarbonize private business jets. We're doing this at SAF, even though it takes some time. The carbon footprint is also making headway. I mean, of course, we want to emit as little CO2 out of our plants and buildings. Right now, we're sticking to the roadmap. You can see that in all our sustainability documents that are added to our financial report. In terms of recruitment, we've hired a lot, so we've renewed as much as 40% of the entire headcount. Lots of the hiring. We need to train all these people. That's a big challenge. We, of course, prefer to have more female members of the staff. It is not always easy. We've been discussing this with our counterparts in the industry. This remains something of a challenge. We are gearing up the gender balance. We're getting more women. It is a slow process, but it's working. Well, we have to pursue these efforts. We want to have more women on board. We're working with a number of employees organizations, including [indiscernible], to tell people that women certainly have a rightful place in the manufacturing industry, in the aircraft industry, and at Dassault Aviation in particular. We're pursuing our efforts in terms of human resources. We still need to hire more. We want to make sure we find the right candidates, the right people. We've been leaning on training organizations. I mean, of course, the French public education system, but you also have a number of private organizations, and you have the vocational training programs. But just because you have a nice degree doesn't mean you can work in the plants. You need to learn about the right gestures. The quality culture needs to be developed, that takes some time. With new recruits, that requires some effort on the part of the senior members of our staff. We have integration programs continuing. We have a number of programs so that we're modernizing what you call the industrial tool. We have a new plant in Cergy. Not every day do we build a new plant, especially not in the Greater Paris area, this is something we're very happy with. We left Argenteuil not because we didn't like Argenteuil, but because it wasn't possible there to upgrade the plant while keeping up production. We felt it was easier to change sites altogether. We found the land in Cergy, and we did this in good cooperation with the staff at Argenteuil. Now we have a brand-new plant which everybody's happy with in Cergy. At Istres, we have been pursuing our modernization efforts. We're getting it ready for the 10X. In Martignas, we continued investing there. In Melbourne, in Florida, we have a major maintenance center that will also accommodate Falcon 10X. In Mérignac, for those of you who have been there, we have two new buildings, including one to house the assembly line for the Falcon 10X fuselage. Digital and AI is very much on the forefront. AI in particular There's no such thing as one AI. There are all sorts of artificial intelligences, and we have to find the right balance between the right algorithms, the right uses, and it all depends on what we want to work on. There will be areas of development require certain types of AIs, and indeed, we've been working with our counterpart from Dassault Systèmes, based on the 3DEXPERIENCE. We've been working with Mistral to produce in-house chat using in-house data, and we've been modernizing a number of tools, SAP. We have APRISO that will be rolled out in Cergy. That's for our production management and firm video conferencing. Of course, there's been a lot of that ever since the COVID crisis. This is still very much topical, and we're working with BLEU. AI should serve our teams as well as our customers, we are there to build a future. Generative AI maybe not or maybe. The real issue, the most technological issue is embedded AI. We need to work with embedded AI on civilian aircraft. This means we need to have airworthiness certification. Just because we have AI doesn't mean we challenge any of the necessary standard safety standards, those of the [indiscernible] or our own. Then we need to have the same for fighter aircraft and drones to make sure that operations can be conducted safely and meet the requirements of our military friends. We've decided to take a stake in Zomato. Zomato is a rather large, well, startup company. It's a big becoming a big company now. They develop small drones, they also develop the technique to operate these drones using AI. We felt it was a wise decision to support that company to invest there. We took part in the fundraising. That took place earlier this year. They raised EUR 200 million. We're building a strategic partnership with that small company so that both us and they can -- I mean, everybody working at home in terms of in capital terms, we're still sharing solutions precisely to address this issue of embedded AI to manage drones and groups of drones just to see if we can make any headway there. This is a very dynamic company. We'd be happy to work with them and have a stake there. We're looking at EUR 10.9 billion in new orders. This is the same numbers as 2025 revenue. Net sales EUR 7.5 billion, significantly up. The backlog growing as well. Now it stands at EUR 46.6 billion, a historic high. In the pie charts, you will have the breakdown between civilian and military aircraft. If you look at the way our backlog is being unfolded, we have the type of business and the types of contract, EUR 2.8 billion. That is civilian aircraft, the 37 aircrafts that were delivered, EUR 38 billion for the delivery of 15 Rafale and EUR 1.6 billion for France, so you can see that the company has been working mostly abroad, which is good news for the French budget because, of course, we pay all of our taxes in France, therefore, that means that you were there to fill the state coffers, not including the other Social Security taxes.
Unknown Executive: [Interpreted] The 6X is behind us. We still have to go through development. The 6X was useful. Now we're moving on to a different phase. We've built the first aircraft. We're going to start with in-flight trials. This is why there's been a decrease in the self-funded R&D. When we had the 10X and the 6X at the same time to work on, then of course, this figure was a little bit higher. Thales is doing fine. It's good news for us because we can benefit from their net income proportionally to our share of their capital. Their net sales are increasing. They're stabilizing. This company is developing its business in cyber matters, in defense, and in cyber spatial as well. EUR 7.420 billion for net sales with some numbers down. Thales, EUR 566 million. We included figures excluding corporate tax surcharges, EUR 186 million, EUR 1.157 billion. The corporate tax surcharge includes what we need to pay for Thales as well. In total, EUR 96 million, additional euros in total. You can see that the taxes are heavy, and it reduces the competitiveness of our company. When it comes to Falcon aircraft, we need to fight U.S. competitors and Canadian competitors as well. 14.3% for the net income margin, 5.2% of self-finance R&D. Earnings per share, EUR 13.60. Cash is increasing as well because military contracts have been rich in advance payments, so free cash flow is up. Now, of course, we need to use this cash to build the aircraft to actually do that, but we've got about EUR 3 billion. When it comes to shareholding, we bought back shares. If you look at the right-hand side of the screen, you'll see the GIMD group, the family group, owns more than 2/3 of all shares, which was one of the goals. I know that there are fewer voting rights, but the important thing for us as a group was to really get to this 2/3 objective. When it comes to dividends, the Board proposed that yesterday, and we need to have this adopted by the General Assembly, but EUR 4.78 per share, that's the dividend we're suggesting with a payout that's 35%, so we're keeping the same payout as last year. As part of value sharing, profit sharing, and other schemes, employers participate for an average of 35% of the company's net income. That's mostly in France. Outlook and strategy for 2026. We need to deliver. That's the main goal. We need to deliver in a timely manner. We'd like to deliver our Falcon aircraft. We need to negotiate the 114 Indian Rafale contract in the Make in India initiative. Meet development deadlines, especially when it comes to Rafale aircraft and 10X aircraft. Prepare for the future of the Rafale with the F5 standards. Development of a combat drone. We'll keep working on that and work on a future fighter jet, post Rafale after the year 2040. We need to work on operation support and aircraft readiness as well. We need to meet the needs of our clients and customers. We keep on working on prospecting. We need to achieve level of Falcon sales as well. Continue the VORTEX development in the space sector because we've now started this development. We're in Phase 1. We need to continue deployment of digital technologies and integrate AI in our developments, and we need to continue developing the skills of our new hires. It's going to be a big year. Projections for the net sales is EUR 8.5 billion range, so an increase compared to this year with 40 Falcon and 28 Rafale that should be delivered in line with the contracts. Of course, we'll move to phase 4 in the forthcoming years. This is what I wanted to say as part of my presentation to you this morning. Now, I will take your questions. Thank you.
Mathieu Rabechault: [Interpreted] AFP. I have a question about the FCAS. What would be the risks and the benefits for you about the new solution? If France were to develop its own aircraft, then should you find new partnerships to make that happen?
Éric Trappier: [Interpreted] This is actually a complex issue. That's the least I can say. What I can tell you today is that Airbus said that they didn't want to work with us, so I didn't say that. They said that. I took note of the statement. I never said I didn't want to work with Airbus or with the Germans to -- we have other partnerships starting with the Germans, so we don't have any issues with Germany. We don't have any issues to cooperate with these partners, and Airbus doesn't want to work with us. If we need to look for other partners, then we will do so if need be, but I won't be making these decisions. The French authorities will be in charge, if they want to suggest partnerships and ask other countries to work on a future system, well, they will do so.
Unknown Analyst: [interpreted] [indiscernible] representative in Paris, German press. Could you explain once again your position? Why don't you want to respect your initial contracts as required by Airbus on the FCAS? I don't really understand, and Germany does not really understand your position. Airbus doesn't want to become a subcontractor for this.
Éric Trappier: [Interpreted] Thank you so much for your question. Well, actually, it will be a good opportunity for me to actually say the truth. We are not complying with the requirements as part of the contract. We are complying with these requirements. We are doing that. We've been working for 100 years, I really need to say that from the get-go, I said that during my introduction, France was supposed to be the leader in this project, on the FCAS project. France is not the leading country on other projects, but when it comes to the FCAS, we were in charge of Pillar A, and we were asked to be leaders in this project. Spain came into the picture. The contributor in Spain was Airbus. We ended up having only one-third of the work to do. I accepted these terms. I said, well, we will comply with the contract," we've always complied with all the terms of every contract. Of course, you'd know about it if we didn't comply with the requirements. I'm very surprised by what is happening. Again, this is not true, and we need to make sure that we can be leaders but also cooperate. Of course, as you've seen, there are issues between Airbus and Dassault, but the real leader here is the one that needs to decide whether a subcontractor is going to be useful to project, efficient enough. The leader is the one taking responsibility and making sure that Phase 2 can be implemented. Phase 2 is about making an aircraft fly, and it's not an easy project. This aircraft is going to be discreet, low observable with aerodynamics that are quite specific to its kind, and the leader is in charge of making sure that all of this works. Dassault was the selected leader by all 3 countries. I understand that Airbus doesn't like that decision, but we are making sure that we comply with the contract. I disagree with their position and their statements about our position. The authorities are the ones who need to decide. I cannot take responsibility if this is the context, but I can't agree with you. We have been complying with the terms of the contract since the early beginning. Thank you. Airbus hasn't.
Unknown Analyst: [Interpreted] Good morning. I'd like to talk about the FCAS as well. I'm from the German radio. In Germany, it feels like the project is completely dead. According to you, what's the probability for the FCAS to go through and to actually happen?
Éric Trappier: [Interpreted] I've heard what the chancellor said. I know that he's now talking about having one plane instead of 2, or rather 2 instead of 1. That could be justified by the fact that, or explained by the fact that there are different operational needs. I can understand that. My highest authorities here in France say that we have similar operational needs and that there's an agreement at operational level. I'm just talking about what I know. I may not know everything, but I know that much. And what I know is if Airbus doesn't want to work with Dassault, then the project might not go through.
Unknown Analyst: [Interpreted] Defense News. A question about the technological bricks that you bought. Harmattan, your stake in Harmattan for AI matters. Do you have all the technology bricks for Rafale F1 and for a potential future aircraft? I have a second question, if you don't mind. If 2 aircraft needs to be done, what will that mean in terms of timeline?
Éric Trappier: [Interpreted] When it comes to the technology, we don't have everything to now work on the future aircraft because we'll need to work on a new technology that we'll need for future aircraft. We need to develop these technological bricks. When it comes to the FCAS, again, Dassault is fully committed because we want to develop these bricks. We're looking at the compromises between an aerodynamic aircraft and a stealth aircraft. An aircraft that can be easily handled and a strike aircraft that needs to be able to navigate enemy defense aircraft in all discretion. The French president a few days ago mentioned the very important mission that could be expanded to other countries. In the context of the war that is going on, the president obviously has important needs, and that involves the aircraft carrier as well. We do believe that we have the technology for the future, but we still have a lot to do as well. These are important developments that we need to undertake. Again, as I was saying, integrating AI to steer drones and aircraft, this is part of the future. I cannot tell you that we have the technology, that it's finalized to this day. We still need to explore this option to develop it further. It should be ready by 2035 if we want to fly drones with aircraft. When it comes to the 2 aircraft issue, I don't really know what to say. France does not support this idea of having 2 aircraft.
Unknown Analyst: [Interpreted] Good morning. CNews. About the additional nuclear airborne component, do you think they will need more Rafale aircraft to carry them?
Éric Trappier: [Interpreted] This is up to the authorities. I'm not going to comment on that. Of course, if there's nuclear deterrence, then the armed forces will need aircraft to support this effort. In the armed forces, there is a need for more combat aircraft in the years to come. So my answer is yes. If there's a need for deterrence along with submarines, then there'll be a need for more combat aircraft. We've seen what is going on with strikes in the air. There is a real need to operate and navigate the airspace. Yes, there will be a need in the future for more combat aircraft.
Unknown Analyst: [Interpreted] Good morning. I have a question about the European market. In the context of the increase in the share of GDP in defense and the relationship with the US. What is the situation? How do you feel about the situation? Do customers talk to you? Are they concerned? Can you tell us more about this?
Éric Trappier: [Interpreted] Well, what I hear is that we need more European aircraft than US aircraft. This is what people say. Now, we need to see action. I'm a very factual man, you know. You know how I feel about this. If you don't want to use F-35 aircraft, then don't buy F-35 aircraft. And then people say, if you create a European aircraft, then this will change in the future. I want to believe that. But again, the choices made by some countries actually lead to believe that they still want to buy American aircraft.
Unknown Analyst: [Interpreted] Good morning. A German newspaper. We've heard the French president say that he still believes in the FCAS project. Do you believe that the two aircraft solution, proposed by Germany is the future of this project?
Éric Trappier: [Interpreted] I cannot speak on behalf of the Germans. I work in France in a French ecosystem with the French armed forces, with the French Ministry of Defense, with the French president. France wants to have a French-German combat aircraft. In 2018 decisions were made, contracts were established for the Phase 1A and 1B, phases that were supposed to lead to the creation of a demonstrator. In the press, there's a lot about sharing, the manufacturing, the creation, but we're actually just creating a demonstrator for now. The main aim is to build an aircraft. Now, again, here at Dassault, we'll be adapting to the circumstances. Again, Airbus doesn't want to work with us, so they're not trying to settle a dispute. They're not trying to solve an issue. They don't want to work with us. I don't think it's a good idea for them to point fingers, especially at a [indiscernible] company that's been working worldwide for decades. Even the Americans don't have that privileged position.
Unknown Analyst: [Interpreted] When do you think the French authorities, the political authorities, when do you think they'll understand that to build a military aircraft, you don't need Europe partners, especially not German partners, when they have in France a good, solid industry that's been active for more than 50 years?
Éric Trappier: [Interpreted] When you reach a certain age, you realize that the lessons are always the same and you always hear the same things. France is too small. There's not enough money. We need partners. You realize that everything we've tried in the past in terms of partnership has failed and that French aircraft are a success story. Do you think at some point this reality will be taken into account in decisions made? I am not going to answer your question because this is a question that's actually for the French authorities. I hope they'll hear your call or your question or your message and let them answer to you. I think there are fiscal issues. That's one question. But you cannot blame the budget for a reality, and you cannot erase history. I think it's up to the political authorities to answer your question.
Unknown Analyst: [Interpreted] About the FCAS, how long do you think this situation can last without moving forward on the calendar without actually answering the progress on the project?
Éric Trappier: [Interpreted] Well, we're finalizing the first phase. It is a hard phase to complete because the beginning of Phase 1 is the end of Phase 1 is actually supposed to be the beginning of the second phase. You can't really waste much time between two phases. The way we complete phase one is actually very important for the way we're going to start Phase 2. If we are stalling now, that may be an issue for the beginning of Phase 2. Again, there is no issue when it comes to the manufacturing, but we really need to think about what we'll do in the future, for example, for in-flight trials. Who will be leading that? That's one of the issues. So yes, we're lagging behind. That's the way it is. We still have a lot of work to do on this project. I think at some point, a decision will have to be made between the states to know what we need to do. Again, and I'm going to repeat it once again, Airbus doesn't want to work with Dassault, and I understand that. Airbus wants to work alone. It was actually announced by Guillaume Faury in the financial results presentation. He said he was ready to work alone. Well, he said that. I don't know if he got any requests from Germany that led to this statement, but, yes, this project is stalling. It's complex.
Tara Patel: [Interpreted] Bloomberg. A question, not about the FCAS, but about the Falcon. What's the demand at the moment for business jets, business demand, corporate demand? Can you give us your vision in terms of the Falcon in this complex, difficult context? And then I wanted to know, what about the timeline, when it comes to what you mentioned with, in your conversation with the President? There are requirements when it comes to phase one of the FCAS, this is my second question about the FCAS. I understand that Airbus doesn't want to work with you, but could you have done something differently from the early beginning not to get to this point? You said that you complied with all the terms in the contract, you signed the contract years ago the situation has changed, the context in the world as well. You talked about the wonderful and beautiful history of Dassault Aviation, it's a beautiful story. Thank you for sharing it with us, but what is happening to Dassault Aviation in a country that's in crisis? Because this is what's happening in France at the moment. Politically, it's a very complex moment in time with the end of Emmanuel Macron's term. I was at Davos in January. I didn't see many Europeans there, but many American counselors and advisors was there. This project was actually mocked by all these people. It became the symbol of crisis in Europe, European countries that can't talk to one another, that are struggling to cooperate efficiently. What does it mean for the future of the company?
Éric Trappier: [Interpreted] When it comes to your first question and business aviation, it's an active market. It's working well. I am not concerned. It's a little bit different with business jets on the other side of the Atlantic. It's very important for the Americans. It is an easy way for company to travel in Europe. There are concerns about business jets versus commercial flights. I don't think that should be an issue because you fly Falcon to develop your business, to be efficient, to do business, but still, this is the way to think here, but it's changing and there are new markets. We are in a transition phase, where we have the 6X and 10X in the works, and the Falcon 2000 is still popular, and we still receive orders for this older one. Your question about the FCAS is quite complex. [Interpreted] Now your question about the FCAS is quite complex. What is the most efficient or rather be only combat aircraft that was created by Europe as a whole, when there's no such aircraft. There's only 1 and it's French. We developed Mystere, Ouragan it was the combat aircraft that was short manufactured with American money through the Marshall Plan, but Dassault was asked to develop it because there was trust in Dassault. So we had to work -- we've had to work through crisis before. Is France a country that dominates well, that's the biggest power in the world that has a lot of money. Well, not exactly. We've had important major changes politically speaking, during the Fifth Republic. And we've been concerned throughout history. But our company is still here. We're building missiles. We're building aircraft or building submarines. So there's no crisis per se. Sure, there is a complex situation here with the budget. So this is what we know. This is what we can do. We make combat aircraft. Now of course, I'm not mentioning what came before 1945. But well, maybe you could mention the Eurofighter there was 1 European combat aircraft, but in out of these 4 countries that worked on that project 3 then bought American aircraft. So do I still believe in my company? The answer is yes. I believe in Dassault , I believe in Dassault capability to keep going honor its legacy. I don't see a lot of companies like ours that still invest the way we do. And Dassault has always been praised. A lot of countries admire us say were a small company compared to others. And still, we build Falcon build combat aircraft and good quality ones. Now we can't compare to American companies that build other types of aircraft. But we can build aircraft that can do everything that can be operated in many different areas in all circumstances. So why would we indulge in French bashing? This is the situation. I defend Dassault. I defend France. And I am proud of what France has been able to do through our history. I am proud of the French investments in its defense and I don't want to quote Maurice Levy here, but I am very proud of the French success story. And I think we can build on this success story. I think we could expand to other countries and share the success story with other countries. And why Airbus that doesn't have these skills, and I don't want to criticize Airbus for the sake of criticizing it. They just don't have the same skills. We've shared, we shared skills, and we don't have the same markets. It's been like that for years, decades even. I've always been respectful of Airbus, and I never said that I don't want to work with Airbus. But they are being aggressive towards us. They are saying that they don't want to work with us. They always tell us we are arrogant, but who's arrogant here? So to answer your question, yes, I believe in the future of the company and in the future of my country.
Thierry Dubois: [Interpreted] Thierry Dubois from Aviation Week, about business jets on the deliveries of Falcons in 2025. How do you explain lower level of deliveries compared to the guidance given earlier on how can you address this or readdress this? And what about the [ Elles ] aircraft?
Éric Trappier: [Interpreted] Well, we did better than in 2024. I know it does not -- we delivered more than in '24. We kept the guidance to 40 aircraft because we expect to get there. We had some challenges with the supply chain we had. This was exacerbated with the Falcon because Falcon is only 1 plane and everything is built in France. So it's a lot easier, but it doesn't mean to say that it's easy. On the Falcons, you have Falcon 2000, you have the 8x, you have the 6X, you have several types of aircraft. So you have several supply chains and several manufacturing lines and the supply chain extends all the way across the world. So if you want to go to the U.S. for completion that provides yet another challenge. And so after COVID and a number of challenges met by our suppliers and our subcontractors. We find it difficult to stick to the guidance. And this is not just for the new aircraft or the older models as well. This challenge, as I said, I'm not saying there are no issues in-house. We -- I mean, even in-house, we had issues and when you at the end of the line at the assembly line, that's where you take on all the delays, they converge there. And if you want to straighten it out, it takes time. But I have good reason to believe we will be able to meet the guidance for the Falcon and -- but we -- well, we're pushing a bit. We still have 40 deliveries planned. We took 31 planes in additional orders. So we're looking at -- I mean, the bill-to-bill -- the bill-to-bill be about slightly below 1, slightly above the Falcons, but in any case, when you talk about competitiveness, I mean it's for you to see for the analysts, but is this a good or bad performance. But when overnight, you take in an additional EUR 100 million, you have to take it in. If it's 1 year, we can do it, it's a 1 shot. But if they want to keep at it with this additional tax, it's not 1 shot anymore. And they propose to keep that extra tax to 2027, it becomes a recurring cost. And I don't know who's going to be the President in 2027. They might, well, they said, right, there's a budget deficit will fit it with this extra tax on big companies, what Macron was able to do started in 2027 to bring taxes down to 25%, and then that put us back in the European average. And we were sort of neck and neck with the U.S. in terms of the corporate income tax. But that's only the income tax, there's additional social security tax and that makes us really uncompetitive. But the only way to cope with this extra tax is to be more competitive compared with the U.S. that the Gulfstream is built only in the U.S. exclusively in the U.S. So it really is not easy for us.
Unknown Analyst: [Interpreted] From [ PACA ] I'd like to have a few clarifications, not FCAS because we all know and you were clear, there was an interesting figure, you look at from Ouragan to Rafale, we are the leaders in manufacturing fighter aircraft. That's not an issue at all. But what is at issue is the embedded electronics on your aircraft. There is a lot of avionics coming from the U.S. And with Mr. Trump tax regime, we may have questions. We have Indian partners that have been extremely effective in producing IT and electronics, have you considered going to them as an alternative? And what about the future jet trainers, I mean, apparently, Airbus is supposed to build training aircraft. But that means you need to train pilots. I myself, I'm small VFR pilot, I know what happened with the Glasgow PG2. What about the sovereign cloud, your own cloud?
Éric Trappier: [Interpreted] Okay. That's a number of questions regarding embedded electronics on the Rafale. All the electronics is French, and it's most of it, if not all, comes from our colleagues from Thales. On the Falcons electronics, you do have electronics coming from the U.S. We did that to have some -- well, to split the euro and U.S. dollar exposure, a lot of business aircraft is from the U.S. And if only to balance our costs, the prices in the U.S. well, the U.S. is very competitive. So we have to offer competitive prices. But turning to India. Well, yes, this is an option. One thing is for sure, we will not go to China. Everybody is rushing to China, starting with Airbus. Even Boeing went to China, everybody wants to go to China. We are not going there. I mean this is the defense industry. We can't go to China, but we can go to India, and it's true that you could readdress the balance provided we get the authorization because this is defense equipment, but also on the Falcons, we could be competitive, having Indian partners work as part of well defined partnerships between French and Indian companies, at least with Dassault and it's partners regarding the trainers, Alpha Jet is a very good aircraft. It's a -- this is a Franco-German aircraft, by the way, that particular partnership went well. I wasn't much involved because it dates back many years. I may be quite senior at Dassault, this was before my time, but I worked with Dornier that was a family-owned German company, and it went very well indeed. The issue is not with Germany unlike what some people might believe the issue with the Airbus. Airbus want to be the leader since it cannot be the leader, they decide to be co-leaders, that doesn't make sense. Either your leader or you're not. On the trainer aircraft, we could build such an aircraft, but it is for the chiefs of staff to decide. I mean, we had at the time of program known as Euro training, Eurotraining didn't work. the French Air Force liked it, but the Europeans want to be trained in the U.S. And so that takes us back to the first question. So could we go revisit the concept. We've heard this fine words saying that Europe could be a sovereign power of its own. I mean, sure, I mean, we'd be happy to take part in that. The EUROJET is a good aircraft, but -- and [ facil ] is a teaching aircraft, we could use that. And we're well advanced in cockpit technology and man-machine interface. The smaller aircraft purchased by the Air Force are pretty good. And the company, we did this with the Pilatus purchased by the French and others could be an option to train pilots there. So do we need an aircraft between the fighter aircraft and the Pilatus? We -- I mean the armed forces have been pondering this, but we could well we could develop an aircraft with others just like we did before to have an advanced trainer aircraft.
Francois d'Orcival: [Interpreted] Francois d'Orcival from Valeurs Actuelles. As a follow-up question, is this still takes us back to FCAS because you've just given us proof that the issue is not so much an issue between France and Germany per se. But then what happened between 2018 and that is -- that's when the project started. And when suddenly now, Airbus you have Airbus declining to work with Dassault. So what prompted Airbus to take such a stand? Did they change -- I mean, there's still they haven't changed nationalities, but they've changed their approach.
Éric Trappier: [Interpreted] Well, Guillaume Faury is Head of Airbus, but Airbus, we're looking at Airbus, Germany here. So we're talking to Airbus Germany. So Airbus Germany, wants to be part of a Eurofighter type program. I'm not criticizing, but that's not what we support. What I've said from the start, we have a clear leader, not just on paper, not just in the contract, but we have -- it has to be effective leadership. But then our opposite number says that then I'm just a subcontractor. Well, I'm the subcontractor for Airbus' Eurodrone. And that's fine with me. That seems to be the issue with them. They want to know whether they can learn anything, gain know-how, these are fair enough questions, and it's true when there are 2 people working on the project. If there's 1 leading, then the other 1 learns from them. But just because your learning doesn't mean you become a leader yourself. I mean we're moving away from what was initially planned. I said governance should be adjusted so that my responsibilities can be actually performed. I never said I wouldn't want to work at the Germans or the Spaniards. But certainly, the -- what I get from the other side is we don't want to work with Dassault. And so I take due note of that. I mean, there may have been challenges that we were not able to overcome. Some people say, well, we need to have 2 aircraft, and that's what happened in the 1990s. We -- I mean, we don't need to -- we're not sorry we had to build the Rafale alone. So.
Veronique Guillermard: [Interpreted] Hello, my name is Veronique Guillermard from Le Figaro. I had a question about the Middle East the French President said that France had commitments and responsibilities vis-a-vis our friends and partners with whom we have a strategic cooperation agreements in matters of defense, Qatar and the United Arab Emirates. Now does this mean anything for Dassault, I mean we sold Rafale in that region, does it mean that we need -- you need to beef up your teams, especially your maintenance people? And can you tell us where you stand in terms of head count and business in the Middle East and have you seen possible risks or consequences? And then the second question about the U.S. tariffs that are being challenged now by the U.S. Supreme Court. How -- is that a new period of uncertainty for you? And what will be the consequences for Dassault?
Éric Trappier: [Interpreted] I want to take the second question first. As we speak, there are no issues, no risks regarding tariffs in our industry. Now this is as things stand today, we don't know what the future brings, Mr. Trump look at Spain is a case in point. So it is both our interest for the for civilian aircraft to be duty free as it were. There were agreements between the U.S. and Europeans, everybody recognized that was -- that was not going to be doing anyone any good. It would actually serve the interest of countries further away. We have a number of connections with the countries in the Middle East, including, of course, Qatar and the United Arab Emirates, and they have been using Mirages and Rafales for many years, there are Rafales in Qatar, are not in the UAE, but they are French Rafales on the French air base in Abu Dhabi but the 80 Rafales that have been ordered haven't been delivered yet. So of course, we're monitoring developments very carefully indeed. But we have no comment as yet as to having more people there. The big issue now is to protect our people. They're out there in countries that are facing the threat of war. I mean we saw it coming, but anyway, the concern is to protect our people. So that's our #1 priority as we speak. But of course, the next priority is to support our users as they fly our fighter aircraft. But there, we have to remain rather confidential about this because this is, of course, a state of war.
Michel Cabirol: [Interpreted] Good morning. My name is Michel Cabirol from La Tribune. I have a few questions there, a bit different. Number one, on the T-6 tranche. When do you propose to sign the order on the T6 segment here. We're talking about sales and the marine Rafales that are aging. They're the first ones that were commissioned when do you expect to sign this important order, I mean, for France because it is for it's a military model for 2035. Then you are involved in the Eurodrone. And my question is what's your take on that? Is that program alive and kicking or not? And are you still involved in the Eurodrone program? And number three, what's your view on Make in India, what's really at stake there Dassault and indeed, for the entire French supply chain. We're talking about 114 aircrafts. Is there an issue there as to liability at the end of the line as it were?
Éric Trappier: [Interpreted] Well, the first question, you should ask the procurement agency. We don't have a view on the tranche #6. I mean, the production rates for France are pretty low, and that's because of budget issues. We delivered a number of aircraft in 2025. For the 2 or 3 years got to come, we're talking about small volumes. It's not that we don't want to step up the production rate. But if you want to step it up, we have to be able to come up with the cash. For the Eurodrones, the product owner is Airbus. We are subcontractors. Again, that's -- we have no issue with that. That was the contract. Indeed, we would not have signed the contract in any other in any qualification. By the way, there, airbus was quite happy to be the main contractor to own the project. They didn't want to have co-leadership, and indeed, as a trade-off, we were the leaders on FCAS. Anyway, no further comments on Eurodrone that you have to ask Airbus and the others if they want to continue with the Eurodrone or not. And as to how Airbus can act as an architect or a main contract or a project owner, we can mention this in another press conference. Regarding the 126, just like for the FCAS, if -- I cannot be a leader unless I have the ability to be the prime contractor, unless I have all the wherewithal in public works is the same thing. The main contractor is the 1 that can bring together all the trades to build a building or plant or whatnot. And that requests from the Indians makes sense because if you want to deliver aircraft to your air forces, you do need a leader. You new dealer a prime contractor. And so for Make in India when we give place orders with a French -- with a joint venture, an Indian subcontractor. We still remain the leaders because the client wants it, I'm asked to take on the responsibility. I can take the responsibility, and I say loud and clear, not to please anyone -- what I'm saying is that if I make that commitment, this is what I need. And I need to decide who are my subcontractors or my partners tell us is not a subcontractors of Dassault for radars, but you cannot build the radars without having an architect telling them this is what I need to build my system to bring cooling, power, et cetera. That is something that we -- is well understood between Thales and Dassault. I don't want to build the radar. Even though we were involved in an electronics radar once, but again, the architect needs some wherewithal if Airbus can take on certain tops. It is for Airbus to take charge of that. But being the co-leader and be #1 -- well, it's all very well, but you have to be able. I took a commitment and we don't want to please 1 or the other. The idea is to have, well, have the right balance, but also being able to take on the job. We -- I mean, we speak frankly. People may not like it, but it spares everybody some disillusionment. I mean, we cannot -- we won't be able to build an electric aircraft crossing the Atlantic or hydrogen aircraft, powered aircraft across the Atlantic. We won't tell lies, but yes, the 114 aircraft, we will be able to deliver, and that's what we committed to do when we accepted leadership.
Unknown Analyst: [Interpreted] Another question still from Bloomberg. This contract with India. Will this be signed prior to the end of President Macron's term? And then back to FCAS, do you believe that the President should make a nuclear cooperation with Germany, subject to progress on FCAS. And more generally, what did you think of the President's speech in Brest?
Éric Trappier: [Interpreted] Well, I cannot comment on the President's statements. It's his business. Well, what he said in rest on reinforcing the nuclear deterrence, I can only support this because this is the very purpose of France's defense, nuclear deterrence. We are holding up the rest of Europe, but we are -- well, the Brits are not completely autonomous, but we are. And in view of the threats facing the world and the new contracts emerging. If you're in a position to hold nuclear deterrence, this is, of course a significant advantage. This is why we have a permanent position on the UN Security Council. Even some people envy this or challenge this. But this is what drives the machine for industrials. If you look at Naval Group, that's a fun company because with the submarines, that's what takes advantage of the know-how and skills of Naval Group. And likewise, for the fighter aircraft, that's the strength of Dassault and we're in a position to keep up our skills with nuclear deterrence. That was decided by General de Gaulle, and it is no coincidence that we've been supporting the order of companions of liberation. That's part of our DNA of our history. We have a history. We're proud of that. But that also includes nuclear deterrence as defined by General de Gaulle. And as an observer, I can only see that this is well suited for today's state of affairs. Some may wish to criticize the French President. In this particular field, I will support him. Regarding India, I was there a couple of weeks ago, traveling with the President, we felt that we want to make sure the contract is signed this year. Will it be signed? You'll see next year.
Unknown Analyst: [Interpreted] from Liziko regarding the situation in the Gulf. I believe the Emirates would not receive Rafale before the end of the year. That's unfortunate. But if they wanted you to step up deliveries, would you be in a position to do so. Would you be more gently -- could you pass on to a production rate of 4 aircraft per year faster than expected?
Éric Trappier: [Interpreted] No, if they wanted us to do this, we would not be able to do it because this is 2026, and we have to deliver an aircraft. I mean, well, it is following the normal timetable, then we'll have -- we'll be able to do just that. Wars raging now. We certainly hope it will come to an end by year's end. But when you delivered your first aircraft, there's a training period before that, that takes some time, then you have to make sure the aircraft can be delivered to the country, to be effective. You need a first quadrant for that. So that -- it couldn't be done. No. What about 4 aircraft production rates? We are producing 4 aircraft a year. But the upscaling is something gradual. You have to work with upstream plants with our subcontractors, but at the final assembly we're not there because, of course, everything has got to come into place at the right time to be able to push to 4 aircraft per year at Merignac, in any case, our present contracts, we're not supposed to deliver 4 aircraft per month by the way, not the year. We are looking at 28 aircraft.
Unknown Analyst: [Interpreted] Defense news, how long -- I mean, you've taken some delay on the AGF? Yes, on the future generation aircraft?
Éric Trappier: [Interpreted] I cannot give you a number. It's like -- we know when it starts. We don't know when it will end. It's true we've been -- I mean, we fall behind if we don't start the next stage on time. Earlier on, I said we should go from T0 to actual tests in flight test, just like we did for the Eurodrone. They don't like it, but there were 6 countries. We were better than other countries. We did better than expected in terms of stealth. And we had a contract with French procurement agency on behalf of the 6 countries involved in it. From T0 all the way to in-flight tests rather than looking at rather than slicing up the timetable because if you do that, you need to renegotiate everything. If we had been given the contract to go all the way up the first test flight, then we wouldn't have these issues would be -- we'd have a fine plan. So when we talk adjusting the government, that's part of it, we have to be more effective collectively. It is not for me to say what the 3 countries should do but we need to have some governance, some leadership here. And in keeping with the initial agreements, that should have been resting with France.
Unknown Analyst: [Interpreted] There are lots of ammunition with Rafale. Is there problem with ammunition issue for potential buyers and for the FTL line in India, what's the time line?
Unknown Executive: [Interpreted] Yes, there is a real issue with ammunition, especially with the war that's raging your commentators and you know that it's an issue to know who's going to lack in ammunition first. But I think we forgot that when war is raging, we need ammunition, and we use them quickly. The war in Ukraine actually reminded us of that, that the piece dividends go through having ammunition and arms and stock. It was the same with COVID-19. If there's a pandemic need masks and if you don't have masks, then you need to find them somewhere. So I don't build ammunition. I know that there's a true willingness and need to step up production in ammunition. I understand, but then industrial are trying the best they can. And we there are orders, orders mean more hires as well. So this is definitely one of the topical issues. Do we need to face. I can't hear you this new Microphone.
Unknown Analyst: [Interpreted] And how about the time line when it comes to the Rafale aircraft? Will there be an impact?
Unknown Executive: [Interpreted] No, not particularly when you buy a tank, when you buy a combat aircraft or a solar system, you need ammunition, obviously. And then there was a third topic in your question, I can't remember which. Okay. Well, it hasn't been defined, but we think we -- what we want to do is buy a build as many aircraft as possible for India in 1 year.
Unknown Analyst: [Interpreted] [indiscernible] BFM business. A question about the UCAS that should be ready with the F5 standard soon. Could you tell us more about the next steps in the program? And what are you going to have to make progress on concretely speaking?
Unknown Executive: [Interpreted] We're still working on the -- in the initial was part of the initial road map, and we don't have an answer for you. We don't have a precise time line. We're still working on the road map.
Unknown Analyst: [Interpreted] I just wanted to ask another question about the FCAS in Germany. We tend to say the aircraft is not the important thing. The important thing is the communication system. The cloud system is that your vision as well. Is that your opinion as well? Or do you have a different opinion?
Unknown Executive: [Interpreted] I do believe that in a large combat system in the military system, everything is important. And of course, today if you look at the operations that are ongoing everywhere in the world, those who control information definitely have a big advantage. So it's not only about developing a cloud system. The cloud system is just about data storage and it's not an issue really storing data. It's not the issue, but capturing data that come from many different places. That's the main issue, satellite systems, satellite networks and our American friends are paving the way and they're well ahead of us. Now we need autonomous systems to be operated by a European military forces because we don't have these autonomous systems. So yes, we need to develop them. We need to work on the satellite, constellations and networks. So satellite manufacturers needs to step up as well. But if you look at the number of satellite sent into orbit by SpaceX every day, this is -- I mean, numbers are very high. I think there's a satellite that takes off every 2 days, SpaceX again. So that's the main issue with the cloud. The issue is not about storing data. It's about getting this data from satellites and then putting this data at the disposal of our military forces. So of course, this pillar is very important, and I agree with you, but again, Airbus wanted to be a co-leader in the first phase of the project. So Airbus wants everything. And that's actually what they said themselves, they said they would like to lead a cooperation without Dassault that because they don't want to lead any project with us. And they even quoted a success story, the 400M, but in that specific example, it was just Airbus made. And our example, Airbus would have to cooperate with and partner with us, Dassault.
Unknown Analyst: [Interpreted] I have a question about LMB Aerospace, which is one of your suppliers. What's your vision? Especially about the fact that this SME went to the United States.
Unknown Executive: [Interpreted] But first, let me tell you 1 thing. This SME did not leave the U.S. It's still in France and still building, but it's always been building. But its shares on our own by the U.S. So in Dassault, we do invest quite a lot. Now I'm not going to compare that with Airbus, but most shareholders at Airbus or from the U.S. But there's a liberal system. This is the system we live in. It might be a political issue for some, but we live in that system, and we operate in that system. At the time when the war in Ukraine started and before the war started there, it was a complete taboo to invest in defense, even the government of a Bank of France, central bank in France, would say "Defense is just like tobacco or alcohol. It's not something you invest in, it's wrong". But then people start realizing that only our enemies had arms and weapons and it wasn't a very good idea to go forward that way. And we need to be more strategic. Now again, today, our funds for everything. We celebrate the defense, we celebrate European unity in defense, but it took us some time to realize that. And only the war actually made us realize that. So it takes us a war to realize that. And we shouldn't have rated, we need to predict these things. We need to be more preventive in our strategies. So to be honest and I currently remember what the question was at this point. Right. So yes, have American shares. There are others. There are American -- U.S. owned 100% sometimes even. So you need to invite and encourage people to come to France, and we're very happy to have investors, American investors investing in our capital, but we need to have French investors as well and we need to favor and encourage those who invest in France. I am very happy to be part of this company and this group that is investing into French defense and French industry. The French authorities have been cautious and they said, well, the work should be done in France, and there are rules that we need to comply with. There are no -- we're not dealing with American proxies per se, but show looks like it sometimes. So we're not in favor, of course, but it is acceptable to us.
Unknown Analyst: [Interpreted] Bloomberg I just wanted to summarize what you said about the FCAS. If Airbus doesn't want to work with you, you said the project would be dead.
Unknown Executive: [Interpreted] Yes, I didn't really say that, but the problem is not -- I mean it's not my problem, Airbus is the 1 being problematic here. All right. But is there a date or time line? Or is there a next meeting on the agenda or you need to ask them.
Unknown Analyst: [Interpreted] About Rafale production. In 3 years' time, if we had to step up production, what do you think could be the pace in terms of production for the final assembly? And could you reach 45% or 50%. I think that's what the Indian Ministry wanted will be pace 4 in 3 years' time.
Unknown Executive: [Interpreted] I said that we were ready to move on to what we call pace 5. If we were to step up production. When it comes to final assembly and we need 3 years to move up the pace. If in 2027, we make that decision to move up and step up our production, then we'll be able to do that 3 years later in 2030, but the decision hasn't been made so far. And about your question about India, we'll see how it goes. This 45%, 50% is the goal that comes from calculations and estimates. Now we've got an agreement -- a potential agreement with Indian authorities based on this 50% goal. But there are lots of parameters to take into account to make that happen, the 50% objective. But again, it's up to the Indian authorities, but we can guarantee a number of things. So this pace 4 that you're mentioning. When it comes to pace 5, it is possible. It is doable.
Unknown Analyst: [Interpreted] I have an additional question. When it comes to the percent of values of value produced in France or elsewhere, when it comes to the Falcon -- what's the share of value produced in France?
Unknown Executive: [Interpreted] 50%, which helps us balance with the dollar because when the dollar goes down, when it fluctuates, it can be an issue. So we need to balance this out. If analysts have listened to us then, I can tell you that we -- and we deal with values of 1.13, 1.14,1.15 at the moment.
Unknown Analyst: [Interpreted] I see on the screen the space plane, makes me think of Hermes. Hermes is another case of the Germans stealing from us at the conference in Madrid. It might not be a question, but spatial sector is going through a number of issues at the moment. So is that project coming at the right time?
Unknown Executive: [Interpreted] Well, the spatial sector is quite expensive, so you need to mobilize important major investments, major sums. And each state is ready to bring something to the table as budgets for the special sector. In France, just like in a number of sectors. We want to be the leading industry everywhere for satellite and for the spatial industry as well. So the position is sort of the same as with the FCAS project, corporations, partnerships. The idea is not always to work together, but that can be an avenue. And I've read in the press that Germany would like to work on the constellation project as well. So there's a difference here. A difference between countries, whether they want to admit it or not. So you're mentioning Hermes. Well, it's not the same situation. I mean, things have changed since then. Hermes has evolved developed. We've got a program as well. That helps us on the know-how that was developed at the time. And we're working with young people, young engineers, spatial sector is one that is inspiring to young people, and they want to work in that sector. And there's a need, a willingness to explore this sector can be about developing a cargo that could go and bring equipment to spatial stations. We've talked about a number of issues in that sector. A French astronaut left recently, and then she came back in the middle of the Atlantic and that was quite impressive. So we do think that there will be a comeback of this base plan that we want to reach the space. That's something that everybody wants. So we are using this need. We're exploring it. We are in our dynamics company focusing on that. We don't do satellite and then we're working on our backlog to make sure then we can then explore the avenues. But again, this is a different system to work with, we need to rethink our systems. We think we have the skills and we could do that in the future. We think there's a need to explore here. We think that young people want to work in that sector. So for all these 3 reasons, we do believe that there's a future for Dassault in this sector, and we could very much very well find partners to work with in this sector. Of course, there's always a budgetary issue in France and in other countries, but we'll try and make it.
Unknown Analyst: [Interpreted] One last question, Defense news about drones. Dassault has always -- has already worked a lot on drones. The Americans already have flying drones. Can we expect the stealth drones to arrive before the F5 standard?
Unknown Executive: [Interpreted] Well, again, we need to think of the T0. The starting point is there a project? Are the armed forces an agreement when it comes to use of these trends. So what we've always said is that we need demonstrators first so that us industrials can make the right technological choices. We did that. We've done that. And sometimes, we develop full programs. That's what happened with the FCAS. It's a program that sometimes it's only demonstrated before it becomes a program. But what we wanted with the FCAS as was to really have a flying aircraft. Now we're very motivated by the prospect of having a flying demonstrator as well. We could do that, but we don't just want to make our engineers to keep them busy really. What we want is to really achieve something. So -- when it comes to stealth jets, we've learned a lot from the drones that we had very stealth drones. And when it comes to the aerodynamics, it needs to be a supersonic aircraft, which was in the case in other projects. So we really need to take all of this into account, but we do want to have a flying demonstrator before we start working on a different program. Thank you very much, and we will see you soon. [Portions of this transcript that are marked [Interpreted] were spoken by an interpreter present on the live call.]